Holly Schoenfeldt: Good morning, and thank you, for joining us today for our webcast announcing U.S. Global Investors’ results for the First Quarter of Fiscal Year 2019. I’m Holly Schoenfeldt. If you have any questions during the webcast, you can enter them in the questions area of the control panel side bar, which is normally to the right of your screen. Also, you may download a PDF of today’s slides by clicking on the red handout button. The presenters for today’s program are Frank Holmes, U.S. Global Investors CEO and Chief Investment Officer; Lisa Callicotte, Chief Financial Officer; and myself, Holly Schoenfeldt, Marketing and Public Relations Manager. During this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statements and all other statements made during this webcast that don’t pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and the corresponding Form 10-Q filing for more detail on factors that could cause actual results to differ materially from any described today in forward-looking statements. Any such statements are made as of today, and U.S. Global Investors accepts no obligation to update them in the future. Now, let’s go to Frank Holmes, CEO and CIO, for an overview of the period. But really briefly let me go over about GROW before I pass it on. U.S. Global Investors is a innovative investment manager with vast experience in global markets and specialized sectors. We are founded as an Investment club, the company became a registered investor adviser in 1968 and has had a long-standing history of global investing and launching first-of-their-kind investment products, including the first no-load gold fund. U.S. Global is well-known for expertise in gold and precious metals, natural resources, and emerging markets. Frank?
Frank Holmes: Well, thank you, Holly. I’ll give you an interesting history that’s taken place in San Antonio, Texas, is USAA, which is a fantastic company, had sold their fund business, their mutual fund business. And I think what’s interesting is that they started a gold fund because they had so many military people call them and ask them about our gold fund. Because our goal fund, the first-no load gold fund was created by a colonel from the air force, who fought in World War II, Colonel Clark Aylsworth, and he had built this investment club that became a mutual fund as a big believer in gold. And I think that’s so interesting that now we’re still in here and USA is getting over the fund business. But it’s been a tough goal. I’m going to try to talk through some of our strengths and challenges we’re all dealing within the fund industry as a whole. But the big strengths for our survivorship is strive to be the go-to stock for exposure in emerging markets and resources and then expanded that into digital currencies, which has become – as gold is always a form of money, the fourth most liquid asset class in the world, digital currencies has grown, still owning a dwarf and then compare it to the gold markets or the cash markets, but growing. We’re debt free. We have a strong balance sheet and we have this reflexive cost structure and we have a monthly dividend return on equity discipline. I want to think our top institutional holders, in particular Royce Funds have been up and down and they themselves have experienced the contraction in active fund management that’s taken place and I’m going to comment about cheaper is not better. And Financial & Investment Management Group out of Michigan, they’ve been just great long-term investors. And so, I thank them for their support. And we have The Vanguard Group and the Blackrock, which is, we all know they are indexing funds. The other interesting part is Perritt Capital Management come back in. They’re small cap, micro cap and they’re contrarian and they run a great shop and I want to thank them for looking at GROW as a way to play – another way to play the gold space. Dividends, we consistently paid for more than 10 years. The yield is 2.16%. It’s a small number, but as a consistency that’s important. We do have a repurchase program at motion. And the board has approved just to buyback $2.75 million and for the quarter ended we bought very little because the volatility is – our model of buying back GROW stock is based on the volatility and the greater the volatility, the more stock we buyback on a day – if it’s on a daily basis this model. So we bought very little back. So it means basically the price action has declined with the cryptocurrency world and the goal world, but it’s not as volatile as it was a year ago. And we may spend and discontinue it at any time as the normal disclosure goes with a stock buy back. So this next one is a visual showing our balance sheet and we’re going to probably spend more time and you can see in the press release on investment in HIVE Blockchain and its impacts. And there’s some changing accounting, which I’ll leave it over to Lisa Callicotte, our treasurer to be more articulate in explaining. But there’s a big movement that has taken place since 2007, 2008 to go to mark-to-market and it was part of the FASB 157, they called it. And when FASB 157 one five seven was being implemented, uh, it, it created lots of, a dislocation of capital in the capital markets and so they were suspended in March of 2009, was basically the turning point for the capital markets to bull market, the start. And, so now it’s coming back, it eking its way back into the system. And this is important to recognize is probably an easier way of dealing with it, but it does create disruption increase of volatility in your earnings and your cost flow. But our balance sheet as you can see, most important is still remains healthy and robust. And we’re looking at how do we streamline the costs, as we’ve our selves have outsourced a lot of our heavy costs and our building now, which is a one time was a huge, huge win for us because it was a lot cheaper to have our building than it was to be leasing. And now we’re looking to lease out more or sell the building so that we just need less space. So, we’re this reflexive cost structure and that’s how we’re looking at these capital markets. In that interim, we still have to deal with what takes us a cycle for leasing out or selling a building or making a long-term investment just takes time. But every quarter, every quarter, every 90 calendar days, we have to pump out a earnings and cashflow. And, so there’s some volatility that takes place with this as you can see, that we’ve had to take an $0.08 to hit. Most of this had to do with the new accounting rules of how a long-term investment we made all of a sudden has to show up short-term. But let’s take a look at the next one, as the assets continue to slowly just seem to dribble out. It doesn’t help when you have gold, going through an advent 18 months ago, we had a big event with VANECK as gold ETF which seems to capture most of the assets even though we’ll perform it. They had a that was very disruptive in selling billions of dollars with the gold stocks in a short period of time because all the money, it seemed to go into this ETF of the gold money and it wasn’t in active management which is more diversified for investors and for the overall ecosystem of the gold equity market. It all became concentrated and that concentration, all of a sudden that they sort of owning more than 20% of companies and because of that they’d have to do take over. So, what did GDXJ had to do – blow up these names. And that really hurt a lot of the gold stocks. And that hurt our performance too and then we’ve added again this past September with VANECK getting out of the gold equity business. So it seems to be these sort of one-offs and everyone getting out of it as this maybe as a turning point, I do not know for sure, but it seems to have that smell to it, of, when VANEK lost sort of VANEK and vanguard, the Bs of the world made this transition of getting a change to their gold name. Now they’re getting out of gold, gold equity business period. So it does impact our gold funds, but I’m happy to say that, we continue to perform and that’s the most important part. It is flipping up and flying at 35,000 feet in the air. As to give you an idea what’s happened this past decade, the regulatory push, the marketing push of indexing, indexing. You can see this actively fund managers have seen $2 trillion is the number. I’ve read from both institutions and mutual funds. That have gone into some form of indexing. And so there’s this rotation and it really doesn’t matter if you’re active fund manager and you will perform the index and the S&P 500, it doesn’t matter. Money is still going into them because of the thought process is cheaper, is better, we know that’s not true because otherwise there’d be no luxury goods and everyone would be wearing Walmart clothes, and everyone would be buying cheap in the marketplace. So that’s just not true. But in the financial markets, there is a push for this and there’s no regulations, in the car industry per se, at it you have to go and push cheaper is better or in luxury goods. So, we do see the sort of transition and it’s what it is. And that’s part of the reason why the USAA has sold their Fund Business. And the valuations on those assets are less than 1%. And that’s what is taking place in this sort of industry. So are we headed for a passive index meltdown? I’ve commented this on the goal, when you get what’s called a crowded trade, all the money goes into one ETF, then it becomes very disruptive to the overall ecosystem of raising capital, performing, et cetera. And it has nothing to do with the value metrics of picking a stock. It all has to do with can you capture the direction of the fund blows, because the funds are going to buy anything that’s in that space. I’ve written about extensively that there are more indices and there are public companies that the IPO market has shrunk by 50% and with normal M&A work that the overall number of stocks to buy is shrinking, but money keeps pouring into the S&P 500. And the vanguards and the black rocks of the world are offering products that are free, or next to nothing, but they still have to pay their legal bills. And I am pleased about the fact that I can’t sell you, induce you to buy our funds with a toaster, but I can induce with no fees. So that inducement of no fees is creating a very crowded space which will become a difficulty and always has been when it becomes crowded. I’m noticing opportunities in the gold markets where I’ve written that earlier this year that everyone was short of the gold market and historically we get a big rally from that. So what this visual is trying to show you is that in the past little period the percentage of assets leaving active and going into indexing continues to grow. And I don’t know at which stage it will be, but cheaper is not better. The next visual is showing a raise to the bottom as the seismic shift in indexing has come with some unexpected consequences, including price distortion. Buying cheap often comes with a high price to the long run. There is no free lunch is sort of things I’ve heard. But I do have this sort of big concern because if you think about this year that $1 trillion of stock buyback is taking place. That means in the S&P 500, the liquidity has to be shrinking, but every day people are leaving to go and buy the S&P 500. And when the pension funds, et cetera, all want to rebalance, sell the stocks to buy bonds, what’s going to happen? You’re going to get what took place in 2000 when you had the tech bubble, they call it was also a fact that Dell computers, et cetera had small market caps and people just couldn’t rebalance and you had this crash that took place. So I think we have to be just cognizant that in coming January of this year, there is a greater risk of this rebalancing that the ability to sell shares by the indexes to rebalance the portfolio and the underlying holdings, this is not there. So I think there’s got to be some push for active management. And it also had its impact in distorting capital that all the adventure capital doesn’t go into small cap or microcap. A lot of money banks have found money bank brokers who won’t give you margin for stocks that are $10, they won’t let you buy a market cap under $200 million. So therefore where companies go to raise capital for their new growth idea, the new Apple idea, the new cable operators start with penny stocks in Denver that are now the biggest cable companies in the world, when you think of some of these companies with sheer magnitude. So this distortion is going to have its impact. But we remain steadfast in being the microcap we are and looking for opportunities. And I think it’s interesting at Wells Fargo, so that lifecycle market characteristics could present many opportunities for investors, who will hold high quality active managed funds. I’m a big believer of that. I know that Vanguard got, we’ve got other gold fund business. And we looked at our first no-load gold fund in America and it’ll perform the Vanguard gold fund for one, three, five and 10 years. But the Vanguard gold fund was much bigger. Why because it’s cheaper, it’s cheaper and it’s on the platforms. All over the platforms being, its better and no, it’s just not true. Usually people go to sports teams and watch sports teams for performance and that’s what happens in active management. But as Warren Buffett says, only when the tide goes out to discover who’s been swimming naked, and it remains cautious, unbalanced risks. So, but in this whole end of it, in this sort of bear market we dealt with, we continue to share insights in the financial media and continue to be research and write and comment, regarding what’s happening in the capital markets on a timely basis. And I always shock people when I did remind them, did you know that for the past decades, this – beginning of this century, gold reserve performance stock market 2:1. And gold’s volatility, bullions volatility is the same as the S&P 500, but it’s perceived because of talking heads on media are always negative bullion. And it’s always – bullions are performing. It’s got to be bad and it was underperforming, it’s got to be double that. It’s not true. And I still maintain an advocate, the 10% golden rule. That is you should have 10% rebalance each year of gold and bullion into a good active fund managers. So Happy Diwali season, it’s a New Year in India. It’s a season of lights and it’s a time of great gold giving. And I think that’s important to remind investors that demand for gold is either fear or love and love is the bigger part of this equation. It’s more than 60% of gold is purchased for love, and it has to do with most populated parts of the world. It’s so important to recognize that, but short-term it has to do with fear. And it’s so important to realize for this visual that government policies are either, it’s a binary model, monetary fiscal, monetary’s real interest rates and money supply and fiscal’s tax regulation or spending. So when we look at your own pal, rising real interest rates are a headwind to the stock market and win the gold. Unwinding QE has actually probably been a good support for gold. Whereas QE decreased and QE was ability to depress the price of gold and there was many people that believe there’s suppression in the gold market, and there’s been lots of litigation that’s prevailed as shown that there was a suppression of the gold price. And I think the unwinding is probably positive for it. And then we look at fiscal policy and I think is trade wars in lower corporate taxes. So I think President Trump did an incredible job with lower corporate taxes. And we have the largest GDP consumer economy in the world. $14 trillion, we’re the envy of the world and what the trade wars is basically one-zero trade, zero tariffs. And it’s been an unlevel playing field with China and America – in China and in particular other countries in Europe. So he’s been on a chair because everyone wants to sell to our huge open economy, but we’re not going to sell our products to their open economies. And there’s no doubt and it affects emerging markets. And we’ve written about this, if you’re not a subscriber, I highly recommend, we write up a PMI every month. It’s always a precursor six months out reset button, when one month, three months, copper prices are falling, oil prices have been falling. We did have a spread oil prices to put – the only reason was geopolitics with Iran. And all of a sudden it’s rolled over. And we’re seeing the trade with China has dropped off dramatically. And I think that it’s really important to recognize that the trade wars could be the – unwinding for President Trump, unless China acquiesces makes changes. But I think it’s an interesting times for all of us. I think there’s more worry about, I think we’re looking at investing picking good quality stocks that will survive and thrive. A strong dollar historically has always been a dent in exporting from our high quality industrial products. It usually is a drag to Boeing, Airbus becomes cheaper, it becomes a drag to many of the, they call the rust belt out way, that takes place from Michigan and Indiana, they’re manufacturing high quality with precision products, they become uncompetitive for the strong dollar and that is starting to show up. So I think that rates will probably peak between now and March, and we’ll get a mean reversion taking place, but let’s jump back onto gold because that’s our expertise. And I have been saying that I am so impressed with the strength and the resiliency of gold. Resiliency of gold is that when historically whenever we have two-year government bonds offering such a high real rate of return relative to Europe and relative to Japan, that the price of gold would be falling much more. In fact, on historical basis, I would have expected gold to be in $700 to $900, but it’s not happening. And I think the unwinding of the QEs one, two and three is another supporting factor for gold. We’re witnessing central banks have not been bullion buyers from Eastern Europe coming in and buying gold, Hungary, Poland all of a sudden show up buying 6 tons of gold, particularly Poland, Turkey. If you look at Turkish lira, the best hedges for anyone in that country was owning gold. The country was a net buyer. And to deal with their currency woes, they had to sell gold. It didn’t matter, Poland bought it. So gold – and if you look at this visual; since 2006, in fact, is actually doing quite well. And I think that it’s also important to look at that real interest rates in the U.S. have been rising, but gold on a relative basis is very resilient and I think that any peak in interest rates in the U.S. in a blink of an eye, gold will be $1,500, $1,800 again. So stay tuned for this. Vanguard is getting into the business, that’s positive. Volatility is like all about managing expectations and is important to look at gold stocks volatility is 3x of bullion is, sorry, 2x of bullion is, and oil is much more volatile than the stock market and I’m seeing here the sort of change in volatility, but it’s important for investors to recognize what the talking, let’s say, on television is very different from just a quieter approach, which we published an update on a regular basis. Now we moved into the crypto world. It was very difficult to launch ETF in the space to understand why the concerns are anti-money laundering glossy or AML concerns that some thief was able to get bitcoin and then sell it into a fund that was listed in New York. So that’s not going to happen. And even though that’s drug lords’ deal with the U.S. dollars everywhere, and there’s many of you list of trades done with U.S. dollars is unable to track that. It’s a real concern that bitcoin from hackers could be able to do so. But the long-term picture is really bullish. We had a bear market and I want to walk you through that. But what’s really important here is to recognize the daily volatility of bitcoin, ethereum; is this substantially greater than bullion or the S&P 500. And it’s showing up in GROW’s stock. It’s showing up in our investment in HIVE Blockchain. They just have much more volatility and that’s going to impact our quarterly earnings, especially with the accounting rules. So people would understand why these are the reasons why. So life is all about managing expectations. As Warren Buffett said, if you want to have a long lasting marriage, have low expectations, that means everything is on the upside. And same thing here, I want to make sure all of you here recognize that. Now major events suppressing the price of bitcoin, it all has to do with regulations that have written about this, the G20 finance ministers prior to 2008 were focused on global trade and economic growth. Since then it’s been synchronized taxation and regulation. The growth of bitcoin, if you recall, after the 2008 crash, what came out of that was a bunch of protesters, a hippies and a radicalist, Wall Street part in all over the place protesting and quietly the geeks created bitcoin. And the geeks turnaround from bitcoin to created other cryptocurrencies and that ecosystem to continue to grow globally. That was the concern of governments, covering up their poor policies, taking taxpayer dollars and covering them up and that concern was accretion of bitcoin. But most important, it shows that you can actually have transactions closed every 10 minutes without any failure. You can’t have any counterfeiting. You can’t have any illegal shorting in the stock market. And you wouldn’t have the crisis that took place in 2008, because if everything closed every 10 minutes, 24/7 you would have something that’s much more stable. So what we’ve seen is that the G20 countries, their finance ministers have had a sort of a war on cryptocurrencies. And I think most interesting is the UK is the most bullish with the most balanced way of looking at it. We had a – couple of weeks ago that the government of India went to the Supreme Court and the Federal Reserve of India prevailed and immediately a week later they said, you can have exchanges, but the government is going to come up with their own cryptocurrency in the research. So there is a push, there is a push because if you want to have the ultimate AML, it would be all the countries on a bitcoin and ethereum type of format at cryptocurrency because then they can monitor every transaction, collect all the taxes. And I think that that’s the long-term push that’s taking place. But in the interim, we had – you can see here the visual walks you through a Facebook was pressured by the Feds to ban bitcoin advertisement, and same with the Twitter, et cetera, now that’s reversed itself. The G20 countries we’re supposed to come out in July with some global pronouncements they’d laid that’s October, bitcoin really rollover. So we have some regulatory issues as headwinds, but I think what’s taken place underneath that is some very significant positive developments such as fidelity. Our goal is to make digital of native assets such as bitcoin, more accessible to investors and they’ve launched a crypto trading platform. This was announced last month. Coinbase what’s USA made a significant investment at a very low cost base. I think it was the round of $75 million in 2015, it’s now valued at $8 billion. And they now have a wallet and they’ve been approved, in New York, which is the most difficult state to be able to getting approved in the digital space, approved for trading. So I think these are positive developments and we have the CFA Society, which the CFA Society is more significant than CPA Society, because the CFA Society is global. If you get a CFA’s designation in the U.S., it’s accepted in Singapore and the UK and Germany, South Africa, São Paulo, Brazil, you name it, whereas the CA and the CPA, there’s just different accounting and you have to recognize that. So now we have the CFA institute is now making part of their educational curriculum. And then we had the Fed, and St. Louis start to creating index. And so this is all something that’s very positive as many other things I could go on with you, that’s taken place in this crypto space this positive and constructive. What we did – as we made an investment in HIVE Blockchain and HIVE Blockchain minds that digital currency. What does that mean? It means that validates the transaction. It gets paid cryptocurrency by solving the mathematical problem every 10 minutes for a Bitcoin and I think it’s just really a remarkable industry, but is highly volatile. And HIVE basically tracks the cryptocurrency market, the cryptocurrency market besides the headwinds of global regulations coming in. And by the way, I do believe that the SEC going after a lot of these ICOs, that are really massive securities. They’re not real digital currencies. I think that’s been great cleanup at the industry, but it’s showing you that there’s a hunger for small cap investing. And this world is basically captured $5 billion last year of small cap microcap investing that went into these ICOs. And I think we try to even make it easier for crowd funding for small microcap entrepreneurs, because America is just consumed with – every night on television and having a high percentage of women watching the program and little girls watching it according to data sources from Kevin O’Leary, just sharing with me at dinner. I think that we’re just unleashing incubating more and more entrepreneurs. So for that end, I want to go into just say that high. The volatility seems to stabilized, I’ve taken on the interim CEO, and it’s just been repositioned the company for a HIVE 2.0 in this sort of bear markets and hopefully be able to announce that very, very shortly, but stay tuned it looks very, very exciting was taking place with regard to HIVE. Now I’ve been long winded, I apologize, when I tried to explain the volatility, I tried to explain to you and lead you into more granular story of what’s taking place with a capital markets in our company, particular as Lisa Callicotte, our CFO.
Lisa Callicotte: Thank you, Frank. Good morning. Before I summarize, our results of operations, I’d like to discuss, the investment accounting pronouncement that we adopted this quarter. Slide 34 notes, changes in the accounting role related to our investments. And that are expected to cause our earnings to be more volatile. We adopted accounting standard, update ASU 2016-01, recognition and measurement of financial assets and financial liabilities effective July 1, 2018. ASU 2016-01 updating accounting standards codification, subtopic A-25 or ASC A-25. This amended the guidance on the classification and measurement of investments in equity securities and certain disclosures. So starting in this fiscal year, some of our corporate investments were accounted for differently than in the past. As part of the adoption of the new standard, we made required cumulative effective adjustment and reclassified $3.1 million of unrealized net gains and a million of related deferred tax expense out of accumulated comprehensive income and into retained earnings. There no longer is an available for sale security or – I’m sorry. They’re no longer is an available for sale classification for equity securities with readily determinable fair value. Effective July 1, 2018, changes in fair value of these investments formally classified as available for sale are reported through earnings rather than comprehensive income. This includes any changes in market value in our investment in high. The impact to earnings for this change for the quarter ending September 30, 2018 with an investment loss of $954,000. This loss related to declines and unrealized gains of securities formally classified as available for sale and previously would have been recorded in other comprehensive income rather than investment income, of that amount $987,000 related to a decline in market value in our investment in HIVE. And then we had an investment laws related to HIVE for this quarter, at quarter end the market value of the company’s investment in HIVE was approximately $2.2 million higher than our costs. What shareholders should try to understand is that no matter if an investment is short-term or long-term in nature, the change in market value will be will be recorded quarterly causing our investment income to be more volatile. Slide 35 summarizes our investment in HIVE and at September 30, 2018, the investment in HIVE wasn’t included in investments and securities at fair value, noncurrent on our balance sheet. We owned 10 million shares of HIVE, which is approximately 3% of the outstanding shares at quarter end. The cost of the investment was $2.4 million and the market value at September 30, 2018 was $4.6 million. Now I’ll discuss the results of operations for our quarter ending September 30, 2018. Beginning on Page 36, we know that we recorded operating revenues of $1.2 million for the quarter, which is a decrease of $267,000 or 18% from the $1.5 million in the same quarter last year. The decrease was primarily due to a decrease in assets under management related to market depreciation and shareholder redemption. Operating expenses for the quarter were $1.9 million, a decrease of $63,000 or 3%, primarily due to the following reasons: employee compensations and benefits decreased $103,000 or 11% mainly due to decreases in bonuses, and this decrease was somewhat offset by an increase in general and administrative expenses of $52,000 or 7% primarily due to increases in fund expenses and research costs. We see a operating loss for the quarter ending September 30, 2018 is $683,000. On Slide 37, we see that other income loss for the quarter ending September 30, 2018, was a loss about $905,000, which was discussed earlier and was mainly related to a decrease in unrealized gains on investments formally classified as available for sale. Other income loss decreased $2.6 million from the same quarter in the prior year. Investment income decreased $1.1 million compared to the first quarter due to unrealized losses of $951,000 and $29,000 of impairment losses in the current period compared to unrealized gains of $686,000 and realized losses of $647,000 in the prior period. Also in the first quarter of 2018 we recorded income from equity method investments of $1.5 million versus a loss of $7,000 in the first quarter of fiscal year 2019. Net loss attributable to USGI after taxes for the quarter is $1.1 million, a loss of $0.08 per share, which is a decrease of $2.4 million compared to the income of $1.3 million or $0.08 per share in the same quarter in the fiscal – in the prior fiscal year. Moving onto Page 38, we see that we still have a strong balance sheet, which includes high level of cash and securities that combined to make up 76% of total assets. And as you can see on Page 39, we still have no long-term debt. The company has a net working capital of $15.5 million and a current ratio of 13.3:1. With that, I’ll turn it over to Holly.
Holly Schoenfeldt: Thank you, Lisa. As you can see a majority of our mutual fund assets are in emerging markets and natural resources, while 35% are in domestic equities and fixed income. As for distribution, more than three quarters of assets come from retail investors and the other quarter from institutional investors. Our sales and marketing efforts have continued to focus on our mutual funds, including those concentrated on gold, natural resources and emerging markets, as well as our exchange traded funds. The company and our funds continue to receive an invaluable amount of viral publicity gained through media interviews. Frank Holmes often shares his insights with financial outlets like CNBC Asia, Bloomberg Radio and Kitco News just to name a few. We continue to receive recommendations by influential financial newsletter writers as well, along with sharing and syndication of our award-winning original content by third-party publishers. The newsletters have a loyal following and receive millions of visitors each month. Frank Holmes’ CEO blog, Frank Talk continues to grow in popularity as well. His commentary is often featured by prominent publications including Forbes, Seeking Alpha, The Crest and Business Insider with millions of monthly visitors. We like to call Frank Holmes our globetrotter because he along with others on our investment team travel around the world to share our thought leadership. We also interact frequently with our loyal followers through Facebook, Twitter, LinkedIn, Instagram, YouTube and Pinterest. Last December, we launched a new video series to supplement our award-winning Frank Talk Blog. Frank Talk Live features Frank Holmes as he dives into market moving events of the week and shares his thoughts on trending financial topics. We feature other members of our investment team as well in similar video short clips. Since implementing these new videos, we’ve already witnessed syndication to several third-party sites as well as an increase in subscribers to our YouTube Page and investor alert newsletter. Kitco News is the biggest gold website in the world with an audience of over 30 million monthly visitors in partnership with The Street continues to feature the Gold Game Film Show with Frank Holmes’ gold market analysis. And since the show’s beginning, 152 episodes have aired. At quarter-end, we’d like to look into the most visited Frank Talk Blog post over the last year, no matter what year they were actually written in. So on this slide, you will see that the most visited articles include: Number one the top 10 countries with the largest gold reserves; number two, what does it take to be in the top 1%?; And number three, 11 reasons why everyone wants to move to Texas, which as you can see was posted back in 2016, but it continues to receive clicks and shares, and as a side note, we did a similar article on Texas recently called Six Reasons Why Texas Trumps All Other U.S. Economies just last month, which actually got retweeted by the Texas Governor Greg Abbott. All of this coverage helped us leverage our brand by reaching millions of readers, viewers and potential investors. Our website usfunds.com was visited 527,000 times from September of 2017 through September of 2018 by curious investors from all over the world. U.S. Global is well known for timely, balanced, positive markets insight and thought leadership. The company has been awarded numerous STAR awards by the Investment Management Education Alliance over the year, adding three more this year, including Best Educational Campaign within the small funds category. The IMEA STAR Awards recognize excellence in investor education. To date, the company has earned a total of 85 STAR Awards. Our subscriber base continues to grow organically and we currently have over 43,000 curious Investors subscribe to our investment newsletters in the Frank Talk Blog. We also continued to see a large following across all of our social media platforms including LinkedIn and Twitter most notably.
Frank Holmes: No, I just add to that Holly is the 43,000, it’s in 180 countries. And a lot of them are accredited – most of them accredited investors and hedge funds. I know when I’m traveling abroad, this hedge fund managers come up and talk to me, their subscribers.
Lisa Callicotte: Yes, exactly. Investors can sign up for any of these that usfunds.com and join these subscribers to receive our award winning investor alert e-newsletter as well as print tasks. And as we are about to wrap up today’s presentation, we just want to offer attendees of the live webcast the opportunity to drop us a line. We love hearing from our shareholders and our subscribers. So, if you’d like a Free Enjoy Capitalism T-shirt, please shoot us a quick note to info@usfunds.com after today’s presentation. And now we would like to open it up to questions and as a reminder, you can enter the questions into the control panel on your screen and I have a few to start-off with, Lisa, I think you might like to answer this one. It says, you explained that the New Accounting Standard now requires due to include changes in fair value of investment in the income statement starting this quarter, where are the gains/losses as of the implementation date included? Well, the accounting rule change required companies to implement this change by wherever they were as of the transition date and for us that was July 1st, and moved – move any unrealized gains and losses into retained earnings. And then going forward, record that through our income statement. So we reclassified $3.1 million in unrealized gains in a million and related deferred tax expense from accumulated other comprehensive income into retained earnings as of July 1. So we moved that unrealized gain from one equity account to another equity account. But what is important to note is that those unrealized gains, the $3.1 million as of 6/30/2018, will never run through our income statement, but we are going to have to record any changes from that point on through our income statement quarterly.
Frank Holmes: I think the big part was this came out two quarters ago, these changes with Berkshire Hathaway that they had a $1 billion charge for – something volatile to this according to this?
Lisa Callicotte: Yes. So most companies, they would be implementing it in their first quarter. This just so happened to be our first quarter for fiscal year 2019 which is why it’s happening to us now.
Frank Holmes: Just started showing up and I believe and I talk with the others, they said that many of the financial companies and particularly the insurance companies were making long-term and short-term investments, its caused by the disruption and to increase the volatility.
Lisa Callicotte: Definitely.
Frank Holmes: Of the earnings, the short-term earnings. The biggest risk and all of that long-term is we’ll let deter people from making long-term investments, you’ve all of a sudden has to create in short term volatility to your earnings, and that’s hopefully investment take place.
Lisa Callicotte: Great. Frank, maybe you can answer this question. It says, it seems like the crypto currency market has been in a low. Do you think the price range right now, is the new normal or do you see more upside potential moving forward?
Frank Holmes: We saw it in July. It was anticipated that G20 were coming up with the regs and we had a big surge, 10% a day, and hive and roll, pop, pop, pop, and then all of a sudden new announcement that lay into October and everything rolling over. So, I think that once we get some clarity on the regulatory world, then I think if the reset button, it’s going to be like gold, it’s kind of just search and it is the complete different ecosystem and that ecosystem is a trade 24/7. And so how people look at it, it’s the millennial world is very different in my research and going around it that decent, a lot of these young kids, it was calculated that there was 10,000 lineal millionaires from Ethereum. And many of them had their knapsacks on. They go on to travel the world and they don’t want to pay taxes. So find, it’s the weirdest part of us as a group of people, but they have a global ecosystem. I know for three mellowness $30,000. So there’s a – that our coders that are involved, they have conferences. These conferences are packed every week. I just – if this was in gold and gold fell from $1,300 to $200 like Ethereum, there’d be no one in the world having a gold conference. But there are conferences everywhere and they’re spending thousands of dollars that I’ve attended and spoken at several in the past three months. So I know think that energy is gone away. I think we’re groping with this fair market and I think it’s nice that it’s been going sideways. The big headaches that you have – during the mining business, the challenges you have is these hash rates, the cost of mining is getting – it’s just the chips have fallen dramatically. So what high when it would to spend money last year and buy, that’s a A6 chips combine these coins, these chips are costing $2,100 a chip, they’re now 400. And so that has, that means more players can come in. But a lot of players have just basically let in the woods. They have no money to come in, they never redeployed and continued their investing. So I think that – what we’re seeing is that this is much more like fracking natural gas. That the frackers start off and let’s say is oil and they hit a 1000 barrels a day in South Texas. A year later, it’s 50 barrels a day. So they continuously have to maintain the 1000 barrels a day. They have to conducing their cash flow and by drill more and drill more and drill more. And then they get into that treadmill, they can keep that production up and they can have great positive free cash flow from it. But that’s what you have to be thinking off in that space. So I think that in a New York second, this thing can change with govern regulations. I think it’s finding the bottom here and a lot of people are now leaving the industry. I know that Genesis Mining, which they sells are things on the cloud that was biggest in the world, it’s slowed down. People are all momentum traders. They all want to subscribe to have their own clients. It’s on a momentum. So I think that as long as it’s here, the more getting washed up.
Lisa Callicotte: All right. This concludes U.S. Global Investors webcast for the first quarter of 2019. The presentation will be available on our website at usfunds.com. Thank you all for your participation today.
Q - :